Operator: At this time I would like to welcome everyone to the Jabil fourth quarter and fiscal year 2008 conference call. (Operator Instructions) Ms. Walters you may begin your conference.
Beth Walters: Joining me on the call today are President and CEO Tim Main and our Chief Financial Officer, Forbes Alexander. This call is being recorded and will be posted for audio playback on the Jabil website in the investor section, along with today’s press release and a slideshow presentation on the quarter. You can follow our presentation with the slides that are posted on the website and beginning with our first slide on the forward looking statements. During this conference call today we will be making forward looking statements, including those regarding the anticipated outlook for our business, our currently expected first quarter of fiscal 2009 net revenue and earning results; our long term outlook for our company and improvements in our operational efficiency and in our financial performance. These statements are based on current expectations, forecasts, and assumptions involving risks and uncertainties that could cause actual outcomes and results to differ materially. An extensive list of these risks and uncertainties are identified in our annual report on Form 10-K for the fiscal year ended August 31, 2008, and subsequent reports on Form 10-K and Form 8-K for all of our other securities filings. Jabil disclaims any intention or obligation to update or revise any forward looking statement, whether as a result of new information, future events, or otherwise. Please turn now to slides three, four, five, and six, I’ll be referencing for our results in the quarter. On revenues of $3.26 billion our GAAP operating income was $86.5 million. This compares to $50.5 million GAAP operating income on revenues of $3.12 billion for the same period in the prior year. Core operating income excluding amortization of intangibles, stock based compensation, and restructuring charges for the quarter was $104.6 million or 3.2% of revenue as compared to $103.8 million or 3.3% for the same period in the prior year. Core earnings per diluted share was $0.30 as compared to $0.29 for the same period in the prior year. On a year over year basis for the quarter this represents 4% growth in revenue while core operating income profits grew 1%. On a sequential basis revenues increased by 6% while core operating income increased 23%. Revenues for the fiscal year 2008 were $12.8 billion. GAAP operating earnings were $251.4 million compared to $12.3 billion and $181.9 million respectively in fiscal 2007. Core operating income excluding amortization of intangibles, stock based compensation and restructuring charges for the year grew 15% year over year, was $379.9 million as compared to $331.6 million in fiscal 2007 resulting in core diluted earnings per share of $1.12 versus $0.95. This is a growth of 18%. Please turn to slide seven, turning to a discussion of revenue by division and for sector for the fourth fiscal quarter. In our EMS Division represented approximately 65% or $2.1 billion consistent with the third quarter. Core operating income for the division in the quarter was 3.5% of revenue. Our sector movements are as follows. Production levels in the automotive sector declined 13% versus the prior quarter primarily reflecting typical summer seasonality and a continued difficult automotive industry. Computing and storage sector declined 1% from the third quarter. Industrial, instrumentation and medical sector increased 7% from the prior quarter reflecting growth across multiple customers in this sector including new assemblies within our medical customer base and strength in our point of sale products. The networking sector levels of production decreased by 2% from the previous quarter. Telecommunications sector increased 6% sequentially reflecting strength in Europe for microwave products. For the full fiscal year EMS revenues represented approximately $8.2 billion or 64% of total Jabil revenues, a year over year growth of 9%. For the full fiscal year core operating income was 3.4% of revenues. In the Consumer Division we represented approximately 30% of revenues or $1 billion in the fourth fiscal quarter, a sequential increase of 21% reflecting new business wins across the mobility and peripherals sector. Core operating income for the division in the quarter was 1.8% of revenue. Sequential sector movements are as follows. The displays sector increased 8% from the third quarter reflective of a very challenging European demand environment with our customers in this sector. The mobility sector increased 15% from the prior quarter. The peripherals sector increased by 39% from the third fiscal quarter as a result of strength in printing products and the ramp of a new set top box product with existing customers. On a full fiscal year basis revenues represented approximately 31% or $3.9 billion a decline of 6% on a year over year basis as a result of declines in displays and mobility sectors. Core operating income for the full fiscal year was 1.3% of revenue. The Aftermarket Services Division represented approximately 5% of overall company revenue in the fourth fiscal quarter. Core operating income for the division in the quarter was 8% of revenue. Revenue was consistent with the prior quarter. For the full fiscal year revenues of $0.7 billion represent 5% of total Jabil revenue with growth of 13% from the prior fiscal year and core operating income of 7.5% for the full fiscal year. Please turn to slide eight, our divisional and sector information for the quarter and percentage terms is as follows. Automotive represented 4% in the fourth quarter, computing and storage represented 12% of revenue, instrumentation, industrial and medical represented 19% of revenues, networking accounted for 21% of revenues, telecommunications 7% of revenues and other represented 2%. Again, the total EMS Division 65% of revenues. Displays represented 5% of revenues in the fourth quarter, mobility 12%, and the peripherals sector 13% of overall revenue for the fourth fiscal quarter. Again, the consumer division at 30% of overall company revenues. The Aftermarket Services Division 5%. In the fourth fiscal quarter and full fiscal year two customers accounted for more than 10% of revenues; Cisco Systems and Hewlett Packard. Top 10 customers in the quarter accounted for approximately 60% of our revenue as compared to 63% last quarter. For the full fiscal year top 10 customers accounted for approximately 62% of our revenue. Selling, general and administrative expenses of $117 million were consistent with the third quarter. Research and development costs were $8.6 million in the quarter. Stock based compensation was $7 million in the quarter lower than anticipated as a result of the reversal of stock based compensation associated with performance based restricted stock which is no longer expected to vest. Net interest expense is in line with previous guidance at $23 million an increase of approximately $3 million from the third quarter reflecting a full quarter of interest associated with the $150 million, 8.25% 10 year senior unsecured note offerings completed during the third quarter. The tax rate on net core operating income in the quarter was 25% as compared to our previously forecast of 20%. The represents approximately $4 million of additional tax expense in the quarter as a result of higher income levels and forecasts in higher tax jurisdictions during the quarter. I’ll now turn the call over to Forbes Alexander.
Forbes Alexander: I’ll now ask you to turn to slides nine through 11 to follow along with my comments. The company’s sales cycle in the quarter improved by one day to 20 days. Day sales outstanding grew by three days to 41 days. Accounts payable days outstanding improved by two days to 66 days and our inventory days declined by two days from the prior quarter with inventory turns consistent at eight. Cash flows were approximately $7 million used in the fourth fiscal quarter primarily reflective of growth in our accounts receivable balances as a result of the ramping of new volume wins in the peripheral sector in the second half of the fiscal quarter. Our return on invested capital was 10% as compared to 8% in the third quarter. Our cash and cash equivalents were $773 million. Our capital expenditures during the quarter were approximately $123 million. This level of expenditure reflects capacity being put in place to support higher revenue levels in our first fiscal quarter and beyond. For the full fiscal year capital expenditures totaled approximately $338 million. Depreciation for the quarter was approximately $62 million and EBITDA in the quarter was approximately $167 million or 5.1% of revenue. We are very pleased with our performance in the quarter in a very challenging macro economic environment, executing to above the mid point of our revenue and core operating income guidance, continued positive steps in our operating performance. The results for the full fiscal year 2008 the revenue of approximately $12.8 billion and core operating income of $318 million or 3% of revenues represents growth in revenue of 4% for fiscal year 2007 and core operating income dollar growth of 15%. Cash flows from operations for the full fiscal year were $412 million. Fiscal year 2008 free cash flow or cash flows from operations off the capital expenditures and dividend payments were approximately $17 million. We are well positioned to continue to produce very healthy cash flows during our fiscal year 2009. During fiscal year 2008 we completed a series of long term debt transactions, as a result of our ample liquidity approximately $1.6 billion available in cash and a revolving credit facilities to fund our future growth and capital expenditure requirements. I’d like to take a moment to update you on our restructuring activity. Charges recorded in the fourth quarter were approximately $300,000. Our overall rationalization plan continues to be managed according to our previously announced plans with charges recorded totaling approximately $244 million. We continue to expect our total restructuring charges to be approximately $250 million as we previously discussed. During the quarter cash payments associated with this restructuring activity were approximately $12 million with total cash payments to date against the plan of approximately $130 million. The cash cost for such charges remains estimated to be $175 million while we currently estimate $23 million of cash payments to be made in the first fiscal quarter of 2009. If you now please turn to slide 12, I’ll give you a business update. Given the present macro economic environment we are not providing guidance for full fiscal 2009. The guidance we are providing for our first fiscal quarter at its mid point reflects a consistent revenue stream in the fourth quarter and our EMS after market services divisions. While our consumer division is anticipated to be grow by 30%. Our overall company guidance the first fiscal quarter is as follows; revenue is estimated to be in the range of $3.4 to $3.6 billion. As a result core earnings per share are expected to be in the range of $0.30 to $0.38. As a percentage of revenue we estimate core operating margins to be in the 3% to 3.4% range. Selling, general and administrative expenses are estimated to be $121 million. Our research and development costs are expected to be approximately $9 million in the quarter. Our intangibles amortization $9 million also in the quarter and our stock based compensation expense is estimated to be approximately $15 million in the first fiscal quarter. Our interest expense is also estimated to be consistent with that of the fourth quarter or approximately $23 million. Based upon the current estimated of production and income levels the tax rate on core operating income for the quarter is expected to be 20%. Capital expenditures for the first quarter are estimated to be in the range of $75 to $90 million reflecting ongoing IT infrastructure refreshes and ongoing investments in our mobility sector. Now please turn to slide 13. Revenues in our EMS Division are estimated to be consistent with those of the third quarter or an increase of 4% from a year over year basis. The sector breakdown is as follows; the automotive sector is expected to increase by 5% from the fourth quarter reflective of some seasonal up tick in levels of production with our European customer base. The computing and storage sector is also estimated to increase by 5% from the fourth quarter and our instrumentation, industrial and medical sector also expected to increase by 5% from the fourth quarter. Our networking sector levels of production are expected to decline by 12% while our telecom sector is estimated to decline by 5% from the fourth quarter. The Consumer Division is estimated to increase by 30% in our first fiscal quarter with a sector breakdown as follows; the display sector is expected to increase by 15% in our first quarter reflective of modest seasonal increases in a continuing very challenging European TV demand environment our customers are experiencing. Revenue levels in this sector are expected to be approximately 50% of revenue levels as compared to the same period a year ago, a decline of $180 million. Our mobility sector is estimated to increase by approximately 30% from the fourth quarter reflecting some seasonal increasing level of demand with the larger driver of growth this quarter being associated with new program wins with a broad range of customers in this sector. Our peripherals sector is estimated to increase by 10% in the quarter reflecting some seasonal up tick with our set top box customers. The Aftermarket Services Division is expected to remain consistent with the fourth fiscal quarter. Now I’d like to hand the call over to Tim Main
Tim Main: Our results for fiscal Q4 were very good particularly when we take into account an unreceptive macro economic environment. Core operating margins were 40 basis points higher than the previous quarter and 23% higher in absolute dollars. Our balance sheet remains in good condition with no major concerns regarding inventory and our liquidity is in excellent condition. Clearly the financial markets are mired in a deepening crisis and emotions can play an exaggerated role in this type of environment. I’ll try and give you the most unemotional and objective take in our forward looking expectations as possible. Our capital expenditure level in fiscal Q4 was significant, new program wins with new and existing customers has been robust in the last year and all sectors, with the exception of displays are growth oriented in coming quarters. This is particularly true in mobility. We are gaining traction with our vertically integrated value proposition and have several rapidly expanding relationships in the sector resulting in a substantial pipeline of business positioned for fiscal Q1 and for the balance of fiscal 2009. We began to see a revenue contribution in fiscal Q4 ’08 and expect the contribution to expand further throughout the fiscal year. We are attempting to handicap a number of factors into our guidance for fiscal Q1 ’09. Our guidance at all revenue levels does contemplate erosion in end market demand in the quarter. While this is not yet manifested and reduced schedules from customers we believe it is prudent given the highly unpredictable environment and the potential fall out from tightened credit. We did note a decline of end market momentum in late July and throughout August across most sectors. In addition to the macro environment we have a significant level of new program revenue ramping during the quarter, the results for which are always difficult to predict. Operating margin progression should become more straightforward as the new programs stability and end markets find a more predictable equilibrium beyond the first fiscal quarter. With this in mind our guidance is a bit more accommodating to variance than is typical for us but that is a reflection of the environment and not any foundation of weaknesses in the business. In fact, business levels are very good and we do expect very solid revenue growth. This, in spite of the typically strong seasonal display sector being down 50% year over year. Diversification has also been a positive trend and we expect this trend to continue through fiscal 2009. Growth in fiscal 2009 will be led by mobility, industrial, instrumentation and medical, peripherals and telecommunications. Our approach to the market will be to aggressively deepen our participation in targeted sectors while being mindful of our drive to expand margins and returns. We base our growth on the secular trend to outsource the design manufacturing service of electronic products in a wide range of industry sectors. This has been good for us. Throughout our history dating all the way back to our initial public offering in 1993. The most severe economic downturn in that 15 year history occurred in 2001 following the dot com bust and 9/11. In that downturn our revenue levels declined 30% over a six month timeframe. That was a tough period but the post recessionary period in 2002 onward was incredible. In fact, since 2002 Jabil has produced over $50 billion in revenue and earned more money in that period than in the entire previously 28 year history of the company. Our post recessionary growth after the 1991 recession was similarly robust. Conditions for Jabil to do well in a soft economy and to accelerate growth in a recovery has never been better. It is a good time for calm perspective in my opinion taking advantage of our relative strength in the market.
Beth Walters: Operator we’re ready for our question and answer period.
Operator: (Operator Instructions) Your first question comes from Steven Fox – Merrill Lynch.
Steven Fox – Merrill Lynch: You mentioned higher levels of Cap spending I was wondering for this quarter, next quarter, could you be more specific on where you’re adding capacity and what types of new programs especially your spending on. Secondly, I was wondering when I look at the outlook for Q1 the revenue growth obviously is still pretty good in the tough environment but are there any drags on operating leverage and shouldn’t we be looking for a little bit more margin expansion quarter over quarter.
Tim Main: The CapEx going into a number of areas; investing in Mexico, continuing to invest in China, particularly our vertical operations there associated a lot with the mobility sector. We’re also expanding other sites around the world. We are expecting and have been positioning for substantial increase in revenue not just in the next quarter but over the ensuing 12 to 18 months and beyond. In terms of margin progression I said in my prepared remarks that our guidance at all revenue levels contemplates some erosion in end market demand. At the high end of our range that would be relatively modest, at the low end of our range more significant. That will impede our margin progression in Q1. A second factor that I mentioned in the prepared remarks had to do with a very high level of new program revenue ramping during the quarter the results for which are always unpredictable. I think as we move into an economic environment with a little greater equilibrium than we have today margin progression will be a little bit more straightforward and utilization rates will go up.
Operator: Your next question comes from Amit Daryanani – RBC Capital Markets.
Amit Daryanani – RBC Capital Markets: A question on the mobility side we were expecting a pretty large jump in sales up 55% is there a way you can slice the $215 million of incremental sales how much of that is coming from the casings operation versus assembly?
Tim Main: No, we don’t break that out. We expect growth in both areas. We will see a substantial increase in operations as well as a much higher contribution from assembly operations around the world.
Amit Daryanani – RBC Capital Markets: I don’t want to get too ahead of myself here but I think last year when I look at the first quarter there was quite a bit of disappointment on the, I think you had 9% sales decline and the margins went down 140 basis points or so. When you look at the mix of the business today versus last year if you see a similar kind of decline in the first quarter do you think you can get a comparable margin degradation or is that some offset someplace for that.
Tim Main: We don’t want to get too far ahead of ourselves either. We can stand in November and see the second quarter but we can’t stand in September and see it. We’ll have to see how it goes. Last year the economy stalled late in Q1 and Q2. I think that disappointed a lot of people but it turns out that the economy was in a contraction period in the fourth calendar quarter. I don’t know if we’ll see the same thing play out this year.
Amit Daryanani – RBC Capital Markets: Can you update us on your part in the display segment and in addition if you’ve had any new wins that may change the strategic outlook you’ve had there?
Tim Main: There have been new ones in the display sector and we don’t have a strategic update at this time.
Operator: Your next question comes from Lou Miscioscia – Cowen & Co.
Lou Miscioscia – Cowen & Co.: I realize that we’re all not economists here and it’s very hard to predict the future but do you see any parallels to where we are now if you look back to 2001 and 1991 from a big picture standpoint in the sense that back then everyone there were so many false rallies and hopes that we’re pulling out of the abyss and then it would end up being three years both times of either double dip recessions or just difficult times. Do you think this is going to be a really elongated turn around or just to get some of your thoughts on that?
Tim Main: If you look at a long enough time frame the parallel that I prefer to draw is that post recessionary periods of growth for Jabil have been extremely robust both from a very good end market environment but also from a very, very pronounced increase and level of outsourcing from vertically integrated OEMs. There’s still a significant level of vertical capacity in the world that will be under intense competitive pressure over the next 12 months. You asked an interesting question how long will the recovery take. Who knows? I think one of the things to talk about is what your starting point is. I think the emotional kind of panic period that we’re going through right now feels as though we’re starting today. I would assert that we started in the fourth calendar quarter of 2007. That was the period in which the economy turns out did go through a contraction. The initial GDP numbers shortly after that quarter was I think growth of 2% to 2.5%. It turns out that that was a contraction period. Aside from the Federal stimulus induced growth quarter in the last four I would think that we’ve had little to negative growth throughout those quarters. When I look at it we’ve been through a year of it already. Will it get a lot worse? I don’t know. We don’t see that in the demand signals from our customers today and I think in terms of Jabil’s position we have an incredibly better level of diversity than we did in 2001. In 2001 I mentioned that we went through a contraction of about 30% of our revenue over a six month period about 65% to 70% of our business was concentrated in the communications industry and most of our productive capacity was located in the United States. Today we have great diversity throughout the corporation. We have 10 significant electronic sectors we pursue and most of our productive capacity is dispersed throughout the world primarily in low cost locations. We’re actually in, I think, a very good position to make hay during the recession as well as do very, very well in the post recessionary period. One last thing I’d like to add is that times like these can be very stressful for customers. The fact that Jabil is standing with great factories and the best locations in the world with a very strong financial condition gives us relative strength to a number of players in the industry. I would expect to see some defensive moves from customers to get their production with players that have long term financial viability as well as are in a position to be able to make the investments they need for us to keep them competitive in years to come. I think it’s a good period for us to take market share and put some distance between ourselves and some of the weaker players.
Lou Miscioscia – Cowen & Co.: Pulling it much more back into the here and now, when you look at your guidance networking and telecom looks like it’s going to be down on a quarter to quarter basis and this is even off of somewhat tepid results here in the fourth quarter. Is it just the end demand for those two areas or is there something else going on there? Alternatively you did pretty well in peripherals both in the quarter that was just reported and in guidance going forward maybe if you could just give a little bit more detail that would be very helpful.
Tim Main: In the peripheral sector we’ve got some significant market share gains going on there and so that’s really what’s driving the growth there. In telecommunication and networking nothing going on there other than a softer end market environment. To the contrary on anything else going on we’re actually gaining significant market share in the telecommunications space. I would expect, I said in my prepared remarks that after we get through this soft period I would expect telecommunications to be one of the top four or five growth sectors for us for the year. That should be okay for us networking is really a reflection of end market demand and particular mix of products that we have quarter to quarter. No major concerns there.
Operator: Your next question comes from Kevin Kessel – JP Morgan.
Kevin Kessel – JP Morgan: I was wondering if you could talk a little bit about the overall inflationary nature of costs in China and throughout Asia and whether or not that was something that you guys started to see stabilize and maybe a little bit here as oil prices came down in that same time if you could just help explain the whole pass through nature of some of those costs like freight and so on and so forth.
Tim Main: We have seen inflation in China both in terms of basic labor costs as well as because of depreciation of R&D relative to major currencies I would expect that to continue although maybe at a more modest pace going forward. How that plays out for Jabil we tended not to pay minimum wage to begin with in China. I know some of the ODMs and some the other competitors there have experienced more significant direct cost increase because of their pay policy and that type of thing. I think we’ll induce a little bit more turn over and our costs have definitely not increased as well there. I think in terms of the logistics cost of oil prices and that type of thing freight out is typically an expense of our customer, freight in is part of the bill of material costs that we have for customers which is typically looked at on a quarterly basis. Not a perfect pass through condition principally on a timing but generally that’s a cost that we look to recover. You bring up some interesting points though that I think play to Jabil’s strength long term as this global environment changes. One of course is our diversified global footprint. In the last couple of years we focused on diversifying our Asian footprint and I think that will pay dividends for us in the next couple years. We opened up a sight in Vietnam; we have two sights in India one of which is reaching very significant levels of production the other we hope to reach significant levels of production in the next 12 to 24 months. We think it’s important to have a diversified global footprint within Asia and globally. You talk about logistics costs we have a significant amount of our production in very bulky, heavy, large scale telecommunications geared networking geared, medical and communication products. Our analysis is indicating that we’re very close to inflection points to localize production. Some of that Chinese production actually Asia based production is ending up back in places like Mexico and Eastern Europe. In a more complex environment in terms of how we architect the overall supply chain for customers potentially producing printer circuit board assemblies and low cost locations, shipping them into consuming regions and finishing final assembly and work with them within the consuming regions. We have a great capability to do that and I think that will pay dividends for us in the next few years. I think actually a continued increase in oil costs, although I hope it doesn’t accelerate because of the impact it might have on consumers that will actually be good for us because we do have a diversified global footprint, very sophisticated IT systems and the ability to architect supply chains that work for customers.
Kevin Kessel – JP Morgan: You had mentioned Mexico as one of the areas that’s been earmarked for CapEx expansion is that an area that you’re noticing is maybe sticking out in the mud to some of your customers in terms of an area where they want to have more exposure going forward or more of a diversified manufacturing footprint.
Tim Main: I’ve just gone through some reasons why we think that localizing, particularly final assembly and order fulfillment in the consuming regions makes sense. Mexico is the final assembly and fulfillment sight in a wide range of products for shipping into the United States, Canada, Mexico and other parts of the North American market generally. It makes a lot of sense so we’ve been in Mexico since 1997. We have operations in Chihuahua, Guadalajara, smaller operations near the border particularly our AMS operation in Reynosa so we’re pretty well positioned to the extent customers want to continue to consume higher levels of capacity in Mexico.
Kevin Kessel – JP Morgan: I wanted to clarify I thought when Forbes spoke about the mobile segment he mentioned up 30% sequentially but I know that your presentation says up 55%.
Tim Main: He said consumer electronics was up 30%.
Forbes Alexander: The Division up 30%, mobility up 55%.
Kevin Kessel – JP Morgan: At this point can you give us an idea of maybe aside from your largest customer how many other customers in the fourth quarter you’ve also transitioned into the assembly mode as well for mobility that should contribute in a major way to your growth rate?
Tim Main: We do have some significant growth in the assembly area. I’ll just leave it at that.
Kevin Kessel – JP Morgan: Can you give us CapEx expectations for ’09 and D&A and I guess tax rate if you expect it as this point you guys would model it to remain at the 20% level or not.
Forbes Alexander: On the tax rate 20% is reasonable for modeling purposes right now. In terms of CapEx that’s going to depend clearly on how the fiscal year pans out. I certainly think it would be in the sub 300.
Kevin Kessel – JP Morgan: No much change in D&A?
Forbes Alexander: A little bit of up tick obviously with some of the capacity put in this place but nothing hugely dramatic.
Operator: Your next question comes from Sherri Scribner – Deutsche Bank.
Sherri Scribner – Deutsche Bank: I wanted to talk a little bit about the guidance in terms of you mentioned that obviously you have some conservatism baked into the numbers. It sounds like the news coming out and the concerns that people have suggest that things are pretty bad. How conservative is your $0.30 estimate for the next quarter and what’s really baked in there?
Tim Main: I think it’s a rational, practical, reasonable look at both our anticipated business levels for handicapped as best we can based on our judgment for a softening macro economic environment. I did say that we noted a decline in end market momentum in late July and August. We have already seen some degradation in end market activity. I don’t think we entered the quarter with a particularly rosy outlook on conditions anyways. I’m not going to be more specific and provide percentages of decline you have to make your own judgments there and it’s a very unpredictable environment. We’ve done the best we could. We intend to, as always, we’re not trying to be overly conservative, we’re not trying to be overly optimistic, we’re attempting to provide rational, reasonable guidance, handicapped of what we don’t know today and the intent obviously is to be within the mid points of the guidance.
Sherri Scribner – Deutsche Bank: If you look at the Consumer business you guys are modeling pretty regular up tick in that business and there’s been some concern about consumer spending in the US and Europe slowing. Do you think those numbers are…
Tim Main: Our guidance for the Consumer sector is really not regular. I know that the 30% sounds regular but when you peal the onion back and kind of look where we’re guiding underneath it’s very irregular. Our display sector being up 15% is about half of what it would typically be in the November quarter. So that’s a very significant reduction in forward looking expectations for the display sector. Keep in mind the display sector is down something like 50% or $180 million year over year. I think that is obviously we’ve baked significantly leaner outlook into the display sector. The mobility sector being up 55% is way outside of what a normal condition would be in the November quarter. That’s clearly indicative of significant new business ramping during the quarter as well as a modest seasonal up tick in the demand there. In peripherals I think Forbes talked about new set top box wins and some other things. I don’t think that we expect a very significant seasonal up tick associated with the peripherals. I’d ask you to kind of look at the notes and what we said about that sector and consider it. It just so happens, it’s a coincidence that those numbers end up being a 30% increase in the sector overall that looks like a normal condition but it’s anything but a normal condition.
Sherri Scribner – Deutsche Bank: If you look at the mobility being up so much obviously you’re commenting that you have business wins there but how much are those at risk if consumer spending is weaker, those business wins?
Tim Main: The new business wins aren’t at risk if consumers buy fewer the ramp would be lower. I think the risk in terms of new product ramps; it’s partially what consumer demand is during the quarter. Another thing I’d like analysts and investors to keep in mind is that new product ramps are by nature unpredictable in and of their own right even in robust economic periods. What manufacturing yields we have, how quickly they’ll come out of the gate with design issues might be input the supply chain might transpire as we move into higher levels of production those are all risk factors to realize and anticipated levels of production.
Sherri Scribner – Deutsche Bank: On the displays business obviously underperforming what you would usually expect, I know you said you’re not going to give any update on the displays business but I think last quarter you said that business needs to be what $300 to $350 million a quarter to be profitable. What are your long term goals for that considering this should be the best quarter for that business.
Tim Main: I don’t think our narrative on the display sector will change for this call and the next couple months. That narrative is we look at the sectors that we do business in. We have return targets and growth targets for those sectors. If they fall below those return targets they need to have remedial action plans or we will divest or move away from those sectors strategically. This is not the best time to make announcements or pronouncements or admonishments to a sector like displays given the fact that this is an important quarter lower than historical levels for us but important none the less. We have a number of customers in that sector we care deeply about and we will move through this quarter and make additional assessments over the next two or three quarters and make appropriate moves as we determine at that time. At this point in time like I said in the prepared remarks we really don’t have an update in terms of strategic positioning for that sector. Right now we’re looking at ramping additional customers into production making sure that we handle our customers requirements this quarter and continuing to work on improving the actual returns in that business.
Operator: Your next question comes from Brian Alexander – Raymond James.
Brian Alexander – Raymond James: The contribution margin just to go back to an earlier question on a sequential basis that you’re guiding to is about 3.5% and that’s obviously well below what you’re striving for. To be fair you did say that this would be choppy. In light of the 55% sequential growth you’re looking for in mobility what you described at the analyst day is having the richest contribution margin profile. I’m a little surprised we’re not seeing more leverage in the model. Can you just be a little more specific where you’re seeing lower than expected contribution margins? You referenced program ramps as having a depressing impact but I would have assumed those ramps were anticipated when you laid out the contribution margin goals at the analyst day.
Tim Main: Dating all the way back to the analyst meeting we talked about the first $1 billion in business generating significant return levels. We didn’t anticipate that that would occur. What we didn’t handicap into those comments, we actually did but it’s soon forgotten is it’s highly dependent on where that additional production takes place, what sectors and what the timing is and what the general environmental conditions are at the time. We have a big rush of new revenue which is unpredictable new programs frankly occurring in some areas of the world where we’re already fully loaded. Not providing additional capacity absorption on the contrary we actually have to create new capacity to accommodate that production. That provides an impedance to strong margin growth. I also think you need to consider that we are in a very choppy unpredictable environment. I don’t think it makes sense for us to be too optimistic about what progression we’ll see. Having said all that if we can make above 3% operating margin in this environment and successfully launch the programs that we have I think it should turn out to be a great year for us and we’ll make a lot of money. We’ll produce excellent cash flow, our EBITDA margins continue to march forward and operating margin expansion will certainly come as we achieve maturity of the new program ramps and as we achieve higher levels of utilization in some of the more under utilized areas of the world.
Brian Alexander – Raymond James: Is the mobility segment one of the segments specifically where you’re not seeing the incremental leverage that you expected because of where the incremental business is coming from or are you seeing it in mobility and not other places?
Tim Main: I think we have seen very good margin progression in the company overall. We’re focusing on Q1. I understand the reasons for that but we had a 40 basis point improvement in operating margins in Q4. We credit it an excellent quarter on $3.26 billion of revenue we showed a 40% operating margin improvement in spite of significant addition of capacity around the world. I think in terms of the mobility growth there is a significant level of mobility growth that is more EMS related than it is vertically integrated related. That tends to carry lower margins with it and because we are in the early ramp periods of some of those programs then that also has a mitigating effect on strong operating margin improvement.
Forbes Alexander: I think also from our comments if you go back to the analyst meeting six months or so ago we in those remarks there I don’t think we really contemplated continued degradation in the displays sector quite frankly. We’ve continued to see degradation from that point down by another 30% to 40%. As we said earlier in our prepared remarks we running about 50% of same period a year ago type run rates. Typically we see some very strong leverage and high utilization of that asset base that we have in place in that sector. Clearly that’s not performing where we want it to perform. Tim in his remarks to the previous question we will continue to revisit that in the next quarter or two and we will move forward from there.
Operator: Your next question comes from Jim Suva – Citigroup.
Jim Suva – Citigroup: You mentioned networking down about 12% on the outlook and you mentioned macro concerns there. Is that basically across all your customers because it looks like that is pretty sizably lower than normal than expected. I wonder if there are some program shifts going on or is it just end demand related. If you can clarify, I thought I heard you said stock comp and maybe I heard this wrong due to lack of sleep but stock comp of $15 million next quarter and if so if this quarter was less than $7 million it looks like that may be double and are you paying people more in stock or what should we think of or then again maybe my number is just wrong.
Forbes Alexander: You’re absolutely correct, $7 million during this fiscal quarter. Part of compensation for executives and employees is based around performance based restricted stock. What we mean by that is specific performance targets set and in this case three years in advance. We concluded the end of this fiscal year those performance targets were not met. The accounting rules as such therefore have you credit out that expense that was accrued in there over the previous period. If you recall last quarter it was $7 million came out and this quarter again the final piece another $7 million came out. Actually around some of the subjectivity around meeting those targets that the accounting rules look at. As we move forward we have performance based targets that are rolling on a three year basis and we would expect $15 million to be a pretty accurate number as we move forward given there should not be any reversal of contemplated expense given first quarter fiscal year is not really a measurement period if you will. It’s just not quite a measurement range to look out two to three years yet.
Jim Suva – Citigroup: Even looking at past history the stock comp looks to be about more than double what it’s been. I just wonder if you’re paying people more in stock and moving stuff below the line.
Forbes Alexander: We’re not actually, far from it. I’d be happy to walk you through the last couple years on this performance based.
Tim Main: The networking I think Lou Miscioscia asked that question and there are no program shifts, no major concerns and it’s just generally flat to being a little bit down. We’ll see how it turns out.
Forbes Alexander: That is across the broad base of customers in that sector.
Operator: Your next question comes from Shawn Harrison – Longbow Research.
Shawn Harrison – Longbow Research: On February seasonality within the Consumer business given that the ramp you’re seeing as you mentioned is atypical within handsets and weaker than normal within the displays business. Should we expect maybe a more moderate type of seasonal decline during the February quarter if everything stays in terms of consumer demand patterns even with where we’re at, at this point in time?
Tim Main: I think that’s fair.
Shawn Harrison – Longbow Research: The question I’m trying to get at is you mentioned earlier the majority of the ramp here in the November quarter is actually tied to new demand coming in not a seasonal up tick. An equivalent 50% fall off shouldn’t be the type of dynamic for the February quarter.
Tim Main: Yes, that’s true.
Shawn Harrison – Longbow Research: On the automotive business I think last quarter you mentioned it reached break even given the commentary an uneven demand environment how do we get profitability to improve in that business beyond seeing a volume up tick.
Forbes Alexander: It’s a break even level in terms of improving our particular sector we talked about a very difficult marketplace, OEMs worth a lot of our capacity and that continues to be a work in progress. Selling the capabilities of our corporation and also consolidating down some of our global footprint in terms of that regard. I’m not talking about restructuring there but actually creating two or three centers of excellence across the corporation which we’re in the process of doing. We’ll see some leverage there at these types of levels of revenues. We continue to sell and hard there across the OEMs and we’ll continue to sell the virtues of an outsourcing model. Again I think that’s a work in progress over the next year or two.
Operator: Your last question comes from William Stein – Credit Suisse.
William Stein – Credit Suisse: I’m wondering if you guys can talk a bit about the linearity of bookings and billing coming out of August and into September.
Tim Main: The linearity of Q4 I think August was our highest revenue level and the fact that we noted a decline in end market momentum in late July and August so we still had more revenue in August than the previous two months. That’s consistent with the ramping of the new programs into a seasonally strong quarter and the new business wins we have.
William Stein – Credit Suisse: I’m thinking excluding the share shift where you seem to be gaining some share with customers. Like you said earlier the end markets lost some momentum in late July and August did that continue into September, did it improve or decline. I know you’re giving us the quarter guidance so that’s the number we can use but just to think about the trend would be helpful to understand if things are of late getting what you think might be better or worse relative to normal seasonal trends.
Tim Main: I don’t know that I can answer that. I’d like to but the 25th of September we’ve seen some data come inside of our company we’ve tried to incorporate that into the guidance we provided. I’d say that we haven’t seen the bottom fall out of anything. We haven’t seen an acceleration, erosion, that type of thing. I don’t see a crumbling economy at this point. We’ll see, prospectively we don’t know what’s going to happen any more so than you guys do. There’s nothing on our radar screen right now that suggests we’re in a complete stall out falling out.
William Stein – Credit Suisse: Normally, for those of us with historical perspective on this industry we know that when times get tight like this in many industries the concern is you get some undisciplined competitors pricing things down and you see margins in the industry get damaged. Can you comment as to whether you’re seeing that now, is the industry restructured enough to avoid that you think in this environment, any comments around that would be helpful.
Tim Main: We’re not seeing that now. Having been with the company 21 odd years and been through a couple of recessions here and freak outs by investors, competitors, customers and like. I think that to the extent that happens we’ll be able to manage through it.
Beth Walters: Thanks for joining us on the call today.
Operator: This concludes today’s conference call you may now disconnect.